Operator: Good morning. My name is Kristen and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 Biogen Idec Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Ms. Woo, you may begin your conference.
Elizabeth Woo - Vice President, Investor Relations: Thank you. Good morning and welcome to Biogen Idec's earnings conference call for the second quarter 2008. Before we begin, I'd encourage everyone to go to the Investor Relations section of our website, biogenidec.com and print out the press release and related financial tables. These will be particularly useful when our CFO, Paul Clancy reviews the financial results and the reconciliation to non-GAAP financial measures discussed today. We have also posted slides on our website that outline the topics discussed on today's call. Let me start with the Safe Harbor statement. Comments made in this conference call include forward-looking statements about the company's expectations regarding future financial results, including our 2008 financial guidance, our longer term operational and financial goals and the sales potential of TYSABRI and other products and pipeline advancements. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from expectations. In particular, careful consideration should be given to the risks and uncertainties that are described in our earnings release and in Item 1.A. of the company's report on Form 10-K and 10-Q and in other reports Biogen Idec filed with the SEC. The company does not undertake any obligation to publicly update any forward-looking statements. Today on the call, I am joined by Jim Mullen, CEO of Biogen Idec; Bill Sibold Senior Vice President, U.S. Neurology Business Unit; Dr. Al Sandrock, Senior Vice President, Neurology Research and Development and Paul Clancy, CFO and Executive Vice President Finance. Now I'll turn the call over to Jim Mullen.
James C. Mullen - President and Chief Executive Officer: Thank you, Elizabeth. Good morning everybody and thank you for joining us. Biogen Idec delivered record revenues and profits in the second quarter. This is the third consecutive quarter in which we've grown revenues by more than 25% year-over-year, and as you will see from the Q2 financial results, were an extremely strong growth cycle. Year-over-year revenues grew 28% and earnings grew 30% in the quarter, driven by continued TYSABRI penetration and strong sales from our core products, AVONEX and RITUXAN. Between AVONEX and TYSABRI, our MS franchise continues to expand. We saw an acceleration of TYSABRI patient adds as physicians grow more comfortable with the safety profile. As we described last September, the ex-U.S. business will continue... will grow faster than the U.S. and we expect international to contribute about 60% towards the TYSABRI 100,000 patient goal. More than half of the 5700 new patients in Q2 were in international markets. TYSABRI was launched in Crohn's indication at the end of the first quarter 2008. Q2 activities focused on educating healthcare professionals about the operation of the CD TOUCH Prescribing Program. A little over 100 Crohn's patients were on therapy at the end of the second quarter. Elan will provide more color on our upcoming call later this week. We are making great strides towards our goal of 100,000 patients by year-end 2010. We expect TYSABRI to exit 2008 at over a $1 billion dollar run rate of in market revenues. In this month, we celebrate TYSABRI's two year anniversary since the relaunch and we feel this is a very, very important milestone. At the end of June, there were 31,800 patients being treated with TYSABRI around the world. Nearly 140,000 have received TYSABRI for 12 months and about 6600 patients have been on therapy for 18 months or longer. Bill Sibold, the Senior Vice President, U.S. Neurology, will take you through an update of the MS franchise in a few minutes. Then I would like to make a few comments about our pipeline. We are moving our pipeline programs forward. We have initiated several first in human trials this quarter and have a number of important data readouts and late stage programs over the coming months. Baminercept Phase 2b in RA, Hsp90i in GI stromal tumors, Factor IX hemophilia, BIIB14 in Parkinson's disease and RITUXAN in CLL. With 15 products in Phase 2 and beyond, our pipeline is advancing. Clinical trial activity continues to ramp up significantly this year. Significant R&D investment, both organically and via business development, has yielded a robust pipeline with half a dozen novel compounds currently in late stage trials. ADENTRI will start a Phase 3 trial in this quarter in acute decompensated heart failure and renal insufficiency. Over the coming quarters, the conversation will increasingly turn to pipeline progress and data. We think the breadth and maturity of our pipeline positions us to continue our growth through the next decade. Dr. Al Sandrock will review the pipeline accomplishments and upcoming milestones in his comments. I'll conclude my introduction by saying our prospects for growth remain strong. TYSABRI sales nearly tripled compared to the same period last year. Our core products continue to grow. Our pipeline is overflowing and our revenues have grown more than 25% year-over-year for three consecutive quarters. Given the strong momentum underway, we have raised our full year guidance and we are setting an aspirational goal of generating a record $4 billion in revenues this year. CFO Paul Clancy will take you through the financial and updated guidance in detail. I will now turn the call over to Bill Sibold, the Head of U.S. Neurology business. Bill?
Bill Sibold - Senior Vice President, US Commercial: Thanks Jim. I am pleased to report that in Q2, we continued the momentum established in 2007 and Q1 2008. Biogen Idec's leading global MS franchise continues to grow everyday. No one is doing more for MS than Biogen Idec. We have the number one prescribed MS therapy today, AVONEX; we have the product that has established a new level of efficacy, TYSABRI and we have the best and broadest pipeline of MS products for the future. Turning to Q2 results. Global neurology revenue increased by 32% versus the prior year to $674 million. Our global franchise market share continues to grow. In the U.S. it is now at its highest level since 2005 and it is at its highest level since 2000 outside the U.S. We expect this trend to continue in step with TYSABRI's growth. AVONEX remains the product to start with and TYSABRI for those patients needing more efficacy. With their clear positioning and strong product profiles, the bulk of relapsing-remitting MS patients are candidates for either AVONEX or TYSABRI. As our pipeline matures, we will have new options for additional patients in need. AVONEX' global revenue in Q2 was $527 million, up 14% year-over-year. U.S. AVONEX revenue was up 13% year-over-year and international AVONEX revenue was up 15% year-over-year. With over 135,000 patients on therapy worldwide and over 1 million patient years of experience, AVONEX remains the foundation of our global MS business. After 11 years on the market, AVONEX remains the only once-weekly product and is the only product indicated to both slow the accumulation of physical disability and be effective for patients who have experienced a first clinical episode and have MRI features consistent with MS. Perhaps this is why AVONEX is the treatment most associated with patients in the early stages of disease and with those patients who lead an active daily lifestyle and why it is the number one MS therapy in the world. AVONEX disrupts the disease, not patients' lives. Now TYSABRI. TYSABRI continues to build momentum and is now on an $800 million run rate with in market revenue of $200 million in Q2. This represents 25% growth over Q1 and an almost three-fold increase over the prior year. Last week we celebrated yet another significant milestone for TYSABRI: its two year anniversary. Of course, the real celebration is for the many patients that have benefited from TYSABRI. Each day, we continue to hear from patients and their physicians about the compelling results that have been achieved. It is clear that this breakthrough therapy has given new hope and a new option for many patients that suffer from this serious debilitating disease. A few commercial highlights. Worldwide, TYSABRI continues to be considered the most effective MS therapy by neurologists with more than 9 out of 10 physicians in the U.S. stating this. Positive switching trends continue. In the U.S., TYSABRI is the most switched to therapy for efficacy and COPAXONE, which is everyday injection, remains the largest single source of TYSABRI patients. About 80% of patients in the U.S. and nearly 90% of patients internationally are new to the Biogen Idec franchise. And physicians are switching patients to TYSABRI earlier. This growing comfort and acceptance of TYSABRI's benefit risk profile is evidenced by our updated utilization numbers. As of the end of June, there were more than 31,800 patients on TYSABRI worldwide in the commercial and clinical trial phase. There were more than 17,800 TYSABRI patients in the U.S. and more than 3100 prescribing physicians. Internationally, there were nearly 13,400 patients on therapy in the 35 countries in which TYSABRI is approved. There have now been nearly 13,900 patients on therapy for over one year and approximately 6600 on therapy for more than 18 months. Throughout the year, the number of patients on therapy for two years is expected to increase rapidly. Additionally, since the last call, TYSABRI was added to the VA formulary for use by neurologists and other prescribers who treat multiple sclerosis. There are five European countries in which TYSABRI has over 10% market share. And the TOUCH online rollout has continued to be very well received in the US. Because of the substantial service benefits to our prescribers and infusion sites, the majority of the ongoing infusion paperwork is now submitted via TOUCH online. We believe TYSABRI will continue to build momentum throughout the remainder of 2008. We had a strong Q2. Q3 has started with another significant milestone, the two year anniversary and updated utilization numbers. Physicians will be hearing about these numbers frequently in the coming days and weeks. Throughout the remainder of the year, the number of patients with over two years on therapy is expected to grow rapidly. We remain confident that TYSABRI will achieve the previously stated goal of 100,000 patients on therapy and become the leading MS therapy in the world. In conclusion, with the number one prescribed MS therapy today in AVONEX, a product that has established a new level of efficacy, TYSABRI and the best and broadest pipeline of MS products for the future, Biogen Idec is the leader in multiple sclerosis. Our goal remains to provide products and services for MS patients from diagnosis to disease resolution. We are extremely pleased with the results of the second quarter and optimistic about the rest of the year and the future. I will now hand the call to Dr. Al Sandrock, Senior Vice President, Neurology R&D.
Al Sandrock - Senior Vice President, Neurology Research and Development: Thank you, Bill. Today, I will report on accomplishments in the quarter and we will also mention some upcoming data readouts with some focus on the neurology pipeline that is my responsibility. We continue to make good progress on advancing and developing our late stage clinical pipeline. We are actively enrolling patients into the four ongoing registrational trials of BG-12 in multiple sclerosis, Lumiliximab in chronic lymphocytic leukemia, Galiximab in non-Hodgkin's lymphoma and Lixivaptan in hyponatremia. In addition, we expect to initiate a Phase 3 trial of ADENTRI in acute decompensated congestive heart failure within a few months. With respect to our early stage development pipeline, we have achieved first patient enrolled in a Phase 1/2 trial of FactorIX in Hemophilia B as well as a Phase 1 trial of toxin conjugated antibody against Cripto in solid tumors. And any day now, we will be enrolling our first patient in a Phase 1 trial of TYSABRI in multiple myeloma, demonstrating our commitment to this molecule. Regarding TYSABRI, as you know, we just celebrated the two year anniversary of the relaunch of TYSABRI in the United States and the initial launch internationally. And as you have heard, we have not seen a single confirmed case of PML in these two years. Nevertheless, should a case of PML occur in a TYSABRI treated patient, we can now offer physicians several complementary methods to help the patient. For example, in April, at the American Academy of Neurology meeting, we showed that plasma exchange can rapidly restore the ability of peripheral blood leukocytes to migrate to extra-cell matrix [ph]. And we recently initiated a clinical trial, testing the effect of an approved anti-malarial drug called Mefloquine in HIV patients with PML. Mefloquine was chosen because it has shown excellent anti-viral activity in an in-vitro assay of JC virus infectivity and because it has high central nervous system penetrant. One final word about TYSABRI. When I go out and talk to my colleagues who treat MS patients, I frequently hear about the remarkable benefits that TYSABRI offers to their patients. For this reason, we are in the early stages of planning a landmark study that more fully evaluates the efficacy of this remarkable drug in multiple sclerosis. I'd like to take this opportunity to highlight some additional accomplishments in the neurology pipeline. We recently transitioned a humanized antibody to Lingo into preclinical development, putting us on track to go into the clinic with this drug towards the end of next year. This heralds a new era in MS therapeutics as this would be the first drug to our knowledge that is specifically designed to repair the damage in the central nervous system caused by multiple sclerosis. We have had multiple abstracts accepted for presentation at the World Congress on Treatment and Research in MS in Montreal in late September. We will present six studies with AVONEX including studies evaluating the long-term 15 year efficacy of the drug as well as the benefits of AVONEX on quality of life. We will also present six studies on the safety and efficacy of TYSABRI including one study showing the effect of the drug on the proportion of disease-free patients and another study showing the effect of the drug on sustained improvement in disability progression. Finally, we have two abstracts on BG-12, our oral drug for MS that's currently in Phase 3, including one study showing the effect of the drug on the conversion of gadolinium-enhancing lesions into T1 holes; thus, evaluating the potential role of BG-12 in neuroprotection. I'll end by reminding you about the data readouts that are anticipated for the remainder of this year. We expect to see data from a Phase 2b trial of baminercept in rheumatoid arthritis, a Phase 2a trail of our adenosine A2A antagonist for Parkinson's disease, a Phase 1/2 trail of the long acting Factor IX in Hemophilia B and a Phase 2 trail of our Hsp90 inhibitor in GI stromal tumors. In conclusion, 2008 continues to be a very active year in research and development. We are as eager as you are to monitor the progress of these programs. With that, I'll hand the call over to Paul Clancy, our Chief Financial Officer.
Paul J. Clancy - Executive Vice President and Chief Financial Officer: Thanks Al. We delivered other strong quarter of financial results. In Q2, we achieved 28% top line growth with strong performance from all products and geographies and over 30% growth in earnings on a year-over-year basis. The GAAP financials are provided in tables one and two of the earnings release. Table three includes a reconciliation of the GAAP to non-GAAP financial results and future guidance. Our website also contains a reconciliation. The primary differences between our GAAP and non-GAAP results for the quarter were $73 million related to the amortization of intangible assets, $5 million related to pre-tax employee stock option expense and $16 million tax impact for these items. Now I'll move on to the non-GAAP P&L operating performance of Biogen Idec. We believe it's important to share this non-GAAP P&L with shareholders since it better represents the ongoing economics of the business and reflects how we manage the business internally and set operational goals. In Q2, we delivered $0.70 a share as diluted EPS on the GAAP P&L and as after the adjustment shown on table three, our non-GAAP diluted EPS was $0.91 a share, which represents a 30% growth versus prior year. Now let's move through the second quarter non-GAAP P&L results in a bit more detail. Q2 total revenues were $993 million, representing an impressive 28% growth over the same period last year. Key drivers included the continued growth of AVONEX business, the increasing adoption of TYSABRI and the growth of the RITUXAN franchise in the U.S. and overseas. Going through our product revenues, I'll begin with AVONEX. Q2 AVONEX worldwide product revenue were $527 million, representing a 14% increase over the same period last year. Q2 U.S. AVONEX product sales were $306 million, representing an increase of 13% on a year-over-year basis, benefiting from price increases. Inventory ended at just over two weeks in the second quarter, unchanged from Q1. On a sequential quarter basis, AVONEX U.S. revenues and units sold were essentially flat. And over the last four quarters, AVONEX units sold in the U.S. had stabilized as our sales and marketing efforts have taken hold. Q2 international AVONEX product sales were $221 million, representing an increase of 15% on a year-over-year basis. Approximately 9% of this increase in international AVONEX sales was driven by favorable foreign exchange. While we had a strong quarter when comparing year-over-year results, there was a very modest sequential quarter decrease of 3% for international AVONEX revenues. This was primarily due to a decrease in the German market, attributable to wholesale or forward buying in the first quarter in advance of an April 1st price increase and seasonal buying patterns by our distributors, specifically lower tender business in the Middle East. Overall, the AVONEX international business from a unit perspective is growing in the high single digits when comparing the first half of 2008 to the first half of 2007. Q2 TYSABRI worldwide Biogen Idec product revenues increased to $147 million. As Bill highlighted, TYSABRI continues to make strong progress. U.S. end user TYSABRI sales totaled $99 million, which represents a 15% quarter-over-quarter increase. Biogen Idec booked $46 million of this amount. International end user TYSABRI sales totaled $101 million, a 37% increase from the prior quarter. In line with patient numbers, units sold in the U.S. exceeded the international market. However, revenues from the international market exceeded the U.S. due to higher pricing, owing to favorable foreign exchange. Second quarter FUMADERM revenue was $10 million. Now moving on to the RITUXAN collaboration revenues, which we refer to as revenue from unconsolidated joint business. We recorded $279 million in revenue for the quarter, representing an increase of 21% on a year-over-year basis. This number has three elements. First, we will receive our share of the U.S. RITUXAN profits. As reported by our partner, Genentech, U.S. RITUXAN sales were $651 million in the second quarter and our second quarter profit share from that business was $178 million, up 16% versus prior year. Second, we received royalty revenue on sales of rituximab outside the U.S. And in Q2, this was $85 million, up 37% versus prior year due to foreign exchange and strong MabThera revenue growth. Third, we were reimbursed $16 million for selling and development costs incurred related to RITUXAN. Second quarter royalties were $28 million for the quarter. Now turning to the expense lines on the P&L, which include the non-GAAP adjustments that I described earlier. Second quarter cost of goods sold was $92 million, which represents approximately 9% of revenues. During the middle of the second quarter, a third party royalty we pay mainly on AVONEX U.S sales expired. This should have a modest benefit to our COGS moving forward. Second quarter R&D expenses were $249 million, which is approximately 25% of revenues and a 16% year-over-year increase. Increase in our R&D spend were driven by the continued advancement of the pipeline. We plan to have close to half a dozen programs in registrational trials in the second half of 2008 including BG-12, Lixivaptan, Galiximab, Lumiliximab and ADENTRI. Second quarter SG&A expenses were $242 million. This represents 24% of revenues and a 22% year-over-year increase. Drivers of the year-over-year increase in absolute dollars include investments to support TYSABRI and AVONEX growth as well as unfavorable foreign currency exchange. Additionally, the second quarter G&A expenses included direct proxy-related expenses of approximately $10 million. Continuing down the P&L, our collaboration profit sharing line totaled $33 million in expense for the quarter. As a reminder, this represents Biogen Idec's payment of 50% of profits outside the U.S to Elan and the reimbursement of third party royalties incurred by Elan outside the U.S. We expect this number to continue to grow in the coming quarters, reflecting the growth of our international TYSABRI business. Second quarter other income and expenses was a $7 million loss. Interest expense and interest income roughly offset each other. At the end of the second quarter, we have approximately $1.6 billion of cash and marketable securities and we now have $1 billion of long-term debt. Also in the second quarter, we recognized losses on sales and impairments of investments of approximately $6 million. Year-to-date, we have repurchased 9 million shares, of which 5 million shares were repurchased in the second quarter. Q2 tax rate on a non-GAAP basis was approximately 27%, which is slightly lower than our expected full year tax rate. Year-to-date, the tax rate was approximately 28%. The effective tax rate in Q2 was favorably impacted by a discrete one-time benefit. This discrete one-time benefit was due to restructuring of our operations in foreign jurisdictions in the second quarter. We expect our 2008 effective tax rate to be in the 28% to 30% range, which is higher than the second quarter rate. This brings us to our second quarter non-GAAP diluted earnings per share of $0.91, representing a 30% increase over the same period last year. Now I'd like to conclude by discussing our updated 2008 guidance. Given our strong Q2 performance, we are raising our 2008 financial guidance. We expect full year annual revenue to grow in the mid 20% range over 2007, driven in large part by TYSABRI and favorable foreign exchange. We expect operating margin leverage to be similar to previous guidance and both non-GAAP and GAAP R&D, SG&A expenses for the year to be approximately $2 billion. I have excluded our collaboration profit sharing line from our $2 billion expense guidance for 2008. I should note, though, that we do expect this line to grow each quarter, reflecting the uptake in increasing profitability of the international TYSABRI business. Our non-GAAP tax rate is expected to be between 28% and 30% while our GAAP tax rate is expected to be between 31% and 33%. This includes an assumption that the R&D tax credit legislation will be renewed late in the year. This would result in different tax rates for the next two quarters. Non-GAAP diluted earnings per share is expected to be at or above $3.50, which represents a 28% year-over-year growth rate. This excludes the potential impact of new business development activities for the balance of the year. GAAP EPS is expected to be at or above $2.51. So, in summary, a very strong second quarter. Our top line growth was strong at 28%, driven by all of our products. We continue to progress and invest in our pipeline and at the bottom line, we delivered 30% non-GAAP and GAAP EPS growth. Now I'll hand the call over to Jim for his closing comments.
James C. Mullen - President and Chief Executive Officer: Thank you, Paul. In summary, we're extremely pleased with the financial performance for the first half of 2008. We believe that the strong fundamentals of the business across all products and geographies will continue to deliver robust results and create significant value for our shareholders. Given the strong momentum underway, the key data readouts expected this year, the prospects for the company have never been better. We made significant progress this year towards our 2010 goals, both financially and operationally and we remain confident that we will achieve our goal of 15% top line, 20% bottom line compound annual growth rate as well as make strides towards our mission of bringing more meaningful therapies to patients in needs. With that, Elizabeth, let's open it up for Q&A.
Elizabeth Woo - Vice President, Investor Relations: Thanks Jim. So Kristen, we are ready now to open up the call for Q&A and we'd ask the participants on the call to limit yourself to one question and then re-enter the queue for follow-up questions to allow all your colleagues to get their questions in. And please state your name and company affiliation. So operator, we can now take the first question. Question And Answer
Operator: [Operator Instructions]. Your first question is from Michael Aberman with Credit Suisse.
Michael Aberman - Credit Suisse: Fantastic. Thanks guys for taking the question. I am wondering if you could give me a little... a more detailed update on your pipeline, in particular late stage programs, Lixivaptan, BG-12, the other compound in terms of enrollment and goals on that end in terms of completion et cetera.
James C. Mullen - President and Chief Executive Officer: Do you want to take that?
Elizabeth Woo - Vice President, Investor Relations: Mike, yes. Those trials are enrolling, enrolling well, but we really don't project out publicly kind of the completion time. But they are enrolling very well.
Michael Aberman - Credit Suisse: Since there is no question to add, I'll just ask you to update where you are on the share buyback program. And I will get back in the queue.
Paul J. Clancy - Executive Vice President and Chief Financial Officer: Yes, we have authorized from... the last organization from the Board was a 20 million share buyback program. We, through the six months of this year, have bought back 9 million shares, 5 million in the second quarter, first 4 million in the first quarter. And our objectives at this point are to kind of use that for share stabilization purposes. And our anticipation for the balance of the year is that we're probably set with respect to share stabilization.
Michael Aberman - Credit Suisse: Thanks.
Operator: Your next question is from the line of Geoffrey Meacham with JPMorgan.
Geoffrey Meacham - JPMorgan: Hi guys and congrats on a good quarter. Question for you on slide 10, the U.S. source of patients for TYSABRI. When I look at this and compare it to last quarter's, the number of switchers, the percent of switchers from BETASERON, COPAXONE and REBIF has gone up; it's 52% now, it was 45% last quarter. Can you give us some color on that? Are you seeing an acceleration of switchers? Is this also reflective of the sequential acceleration that you see in new starts in TYSABRI? Thanks.
Bill Sibold - Senior Vice President, US Commercial: Yes, this is Bill. We are seeing, as we would expect to see, more of the patients for TYSABRI coming from the switching population and we know the efficacy of the current ABCR therapy. We know that in time patients will be in need of more efficacy and we see that they are switching to TYSABRI now and would expect that trend to continue in the future.
Operator: Your next question is from the line of Yaron Werber with Citi.
Yaron Werber - Citigroup: Yes, hi. I have a question about the Crohn's market. You mentioned there's about 100 patients so far on drug. Can you give us... which, by our estimate may be 6% penetration into [ph] TNF inadequately treated patients. Does that jive with your model and can you give us a sense as to how quickly can this ramp or maybe give us a sense as to whether that's really 6% or, numbers wise, how many millions in sales were in Crohn's? Thank you.
James C. Mullen - President and Chief Executive Officer: Yes, this is Jim. I guess the way I would characterize it right now is we are not much like the early days, the early months of the launch with... in the MS marketplace. The focus in the first quarter or six months of this is all about making sure everything in the system works, educating all the gastroenterologists on what the TOUCH program is, making sure they have access to fusion centers that have been trained et cetera. And so a lot of that is just getting the logistics in place. So I don't think we're overly... I know we're not overly focused at this point on exactly what the trends look like. I think as we look through the back half of the year, we'll be getting increasingly more focused on where those sales coming from and how they look and how is this product shaping up in the minds... in actual use in that area of sort of TNF inadequate responders. So we really haven't tried to go back to the models. The folks at Elan do have the sales force in the field. They probably will have a little bit better touch and feel, so I'll probably leave more detail in that answer to Elan. And I believe their call is on Thursday morning.
Operator: Your next question is from Geoffrey Porges with Sanford Bernstein.
Geoffrey Porges - Sanford Bernstein: Thanks very much for taking the question and congrats on the quarter. Al, nice to hear you on the call. Wondering if you would give us information about... you mentioned the zero cases of PML, and that's obviously important. But could you tell anything else about other opportunistic or atypical infections that you have seen in TYSABRI patients, particularly in the context of what we are seeing now emerging for RITUXAN. Could you sort of compare that to that experience? Thanks.
Al Sandrock - Senior Vice President, Neurology Research and Development: Well, as you know, we have a very comprehensive risk management program and we have a study called TYGRIS for example that has... that will enrolled about 5000 patients and look at any other infections that may come up. And I can tell you so far, we've seen no reason to update our label, that we're seeing exactly what we've seen in the clinical trials and our experience up to date.
Geoffrey Porges - Sanford Bernstein: And compared to RITUXAN?
Al Sandrock - Senior Vice President, Neurology Research and Development: Pardon me?
Geoffrey Porges - Sanford Bernstein: Could you compare it to RITUXAN given your experience there as well?
Al Sandrock - Senior Vice President, Neurology Research and Development: Compare TYSABRI to RITUXAN?
Geoffrey Porges - Sanford Bernstein: In terms of the propensity to cause opportunistic infection.
Al Sandrock - Senior Vice President, Neurology Research and Development: I think that will be a really difficult comparison to make.
Geoffrey Porges - Sanford Bernstein: Thanks.
Operator: Your next question is from Andrew Berens with Merrill Lynch.
Andrew Berens - Merrill Lynch: Thanks. Congratulation guys. I know you said you didn't want to talk a lot about the Crohn's market, but I was just wondering, is your sense that these patients, if they end up having surgery, are they going to be maintained on TYSABRI after the surgery?
James C. Mullen - President and Chief Executive Officer: I think we have insufficient insight into that to really answer that. I would really defer that one to Elan at this stage. I mean we have so little experience at this stage of the launch in the marketplace. I think it's too early to call that.
Andrew Berens - Merrill Lynch: Okay. All right, we'll stay tuned then. Thanks.
Operator: Your next question is from Jason Zhang with BMO Capital Markets.
Jason Zhang - BMO Capital Markets: Thanks. My question is about the MS... I guess MS portfolio [ph] management. How then do you decide which drug to go forward, particularly when several of them are going to move into late stage development?
James C. Mullen - President and Chief Executive Officer: Well we have some very well defined go, no-go criteria. We look for drugs that are complementary to each other. As you know, there are multiple types of MS, perhaps up to four different types. So a particular patient may respond better to one drug versus another. In addition, as patients move from relapsing to progressive forms of MS, their biology changes, so their requirements for drugs change. So we think that... so we think there is plenty of room for more drugs. And as I said, Lingo is a completely new approach. It would repair the central nervous system and nobody has even taken that approach. So I think let's look at the data. We have some very well defined go, no-go criteria and we'll move the ones that make sense forward to Phase 3.
Jason Zhang - BMO Capital Markets: Thanks.
Operator: Your next question is from Ian Somaiya with Thomas Weisel Partners.
M. Ian Somaiya - Thomas Weisel Partners LLC: Thanks for taking my question. So just on the source of patients for TYSABRI, you mentioned that 52% are coming from COPAXONE, REBIF and BETASERON, the combination of those three. Can you give us something more... more recent evolving trends in terms of where the incremental growth is coming from? Is it still COPAXONE or are we seeing a greater proportion of patients switching form REBIF and BETASERON?
Bill Sibold - Senior Vice President, US Commercial: Well we continue to see that COPAXONE is the number one switch from product. And I'll also just highlight that this is U.S. data. The high dose category is continuing to also have switches from it, and we'd expect that in the future as well.
M. Ian Somaiya - Thomas Weisel Partners LLC: Any sort of changes in new patients coming from REBIF or BETASERON?
Bill Sibold - Senior Vice President, US Commercial: No, nothing really significant. It's just... it's a mixture of the products with COPAXONE being the leading and the others contributing about the same amount.
M. Ian Somaiya - Thomas Weisel Partners LLC: Okay. Thank you.
Operator: Your next question is from Mark Schoenebaum with Deutsche Bank.
Mark Schoenebaum - Deutsche Bank: Hi, thanks for taking my question, I appreciate it. Well done on the TYSABRI relaunch two years later. I had sort of a bigger picture question maybe for Jim. There's been a lot of discussion in biotech recently around what the right level of R&D spending is. I think Gilead has talked about taking their level of 12 higher, but nobody seems to know where. They cited in this industry average of 17%; you are at 25%, I think at the industry high right now. Amgen's closer to 20% et cetera. Can you...I know you are not prepared to give long-term guidance on R&D spending, but can you jut speak about what... how you guys think about budgeting R&D and where you think the ideal level of spend is as it relates to percent of revenue over time?
James C. Mullen - President and Chief Executive Officer: Boy, good question Mark. And the short answer I don't know that anybody has the precise answer to that question. I think it will... you are going to find that it's probably a little circumstantial to each company's situation. Clearly, coming out of the merger of the two companies, we had a view that while we had some great prospects for near and medium-term growth from the compounds we had in our hands, that we really needed to be more aggressive on the R&D front to continue to fill the pipeline. And I think that thesis has flowed through. But I have also said that we are going to bring this R&D as a percentage of revenue down from the 30% into the mid 20s and down. My guess is somewhere in that plus or minus... 20 plus or minus is probably the range that will be sustainable and be able to drive continued growth for companies as well as an attractive operating margin. From our vantage point, now, I think we just look at it as we have looked at the investment, the bulk of our R&D investment. And certainly, the bulk of the growth this year and next year will be related to driving late, late stage clinical trials, so Phase 3 trials. And that's with... on top of lots of information and we think that's probably a good investment when you really have gotten past proof of concept to continue to drive those through. It will be interesting because everybody has got a view on what the right R&D level is. It's always easy to judge it about five years after the event and decide whether you have good results from it or not. Right now, we feel pretty good about our ability to both balance the R&D investment. I am excited... very excited about some of the new things we see coming out of R&D. I love the late stage pipeline. We've got a lot of shots on goal. So I think we've got very solid reasons for investing at the levels and we are still able to make very attractive operating margins and EPS growth. So that's the balance that we're trying to operate in over the next the number of years. I know that's not a super specific answer, but that's a little bit how we think about it, Mark.
Mark Schoenebaum - Deutsche Bank: So R&D coming down and any commentary on SG&A trends over time?
James C. Mullen - President and Chief Executive Officer: Well SG&A trends, so back out the profit share, the payment that goes back to Elan. SG&A trends, I think you'll see come down because we're fully invested pretty much behind the AVONEX and TYSABRI. Aside from the currency exchange and maybe some discrete investments we'll want to make in reaction to market trends there, those numbers aren't not going to move around a huge amount in terms of an absolute sense. So we're going to get leverage as we see more TYSABRI sales come through. As Paul said, we did have a bump of 10 plus million... 10 or so million in proxy expense in Q2. I would hope that that's not an ongoing spend. I said that a little time and cheek [ph], you couldn't see that guys. But we are not going to... obviously, he wants to do that in Q3 and Q4. So that will step down and we'll continue to put pressure on the... particularly the G&A side. On the sales and marketing side, we continue to expand some of the geographies. So we have a few businesses that will be in the build mode like Argentina for example next year and India and China. But those are relatively small numbers in the big scheme of things.
Mark Schoenebaum - Deutsche Bank: Thanks. I really appreciate it. That's helpful.
Operator: Your next question is from Bill Tanner with Leerink Swann.
William Tanner - Leerink Swann: Thank you for taking the question. Jim, maybe a question for you on the Genentech RITUXAN... I mean, excuse me, Genentech Roche. Can you remind us what the disposition of RITUXAN would be on an acquisition of Genentech? And then what kind of opportunities or challenges does that create for the company?
James C. Mullen - President and Chief Executive Officer: Yes, certainly, when I got to my desk yesterday morning at about 7, things changed as I started to read what was going over the Wire and started to think about what does that mean. So it's a great question and a timely question, Bill. Yes, specifically with respect to the contract, there is... the change in control with respect to RITUXAN or the CD-20 products and us is unilateral. There is no... we don't have any additional rights and as a practical matter, Genentech [ph] already owns a controlling interest. So even if you use some of the old standard definitions, it wouldn't apply anyway. So there is no change from a contractual point of view. Now, what does it mean going forward? I think we don't really have a viewpoint on it yet, because I think we'd like to first see how... what happens. Does this transaction actually close. And we don't have any more insight into the likelihood that it will close at the offered price or some change to the offer price than you folks do. And I don't know much more than I can read in a Roche press release. I don't know any more than I can read in a Roche press release in terms of how they plan to execute on things. What it does mean is probably in some respects, there's a simplifying assumption in that there is not three players trying to help make decisions, and this is really two in terms of Genentech Roche in one respect and us on the other side. So I think it remains to be seen exactly what that means. But we are going to watch it carefully. I don't know that I can tell you a lot more than that, Bill.
William Tanner - Leerink Swann: So I mean, does that tend to suggest that Biogen would... Idec could still participate going forward even after an acquisition of Genentech?
James C. Mullen - President and Chief Executive Officer: Yes, I don't see any reason why our contract is still not good and in force as it always has been.
William Tanner - Leerink Swann: Okay.
James C. Mullen - President and Chief Executive Officer: So we would have participation in the CD-20 compound.
William Tanner - Leerink Swann: All right. Thanks very much.
James C. Mullen - President and Chief Executive Officer: Yes. In unchanged economics.
William Tanner - Leerink Swann: Understood.
Operator: Your next question is from Joel Sendek with Lazard Capital Markets.
Joel Sendek - Lazard Capital Markets: Thanks. This is the first quarter where TYSABRI ex-U.S. product sales exceed U.S. sales. And given the number of patients is greater and the exchange rate if that continues, should we be modeling out longer term the ex-U.S. TYSABRI product sales to be significantly larger over time ex-U.S.?
Paul J. Clancy - Executive Vice President and Chief Financial Officer: Well I think the dynamic is exactly what you said, Joel. When we brought the products and reintroduced it in the United States and brought it to market rest of world, we brought it with relatively the same price to market. And what has changed is the dynamic in terms of foreign exchange. So that is exactly kind of a little bit the dynamic that's going on in terms of the rest of world TYSABRI sales being greater than the U.S. sales despite the units and patient numbers kind of being slightly different than that. But I would tie you back [ph] to kind of what we've said for a number of quarters now, which is we do see TYSABRI over the longer haul, 60% of our goal of the 100,000 patients, or pick whatever number you progress the TYSABRI curve towards, that 60% of those patients come from outside the United States. Over the last three or four quarters, the number of MS patients on therapy outside the United States has eclipsed inside the United States. So it's still I think something... it's a dynamic that the investment community is kind of still catching up to that we find to be critically important to our business strategy is the importance of the rest of world sales, the importance of that MS business that we have outside the United States.
Joel Sendek - Lazard Capital Markets: Okay, thank you.
Operator: Your next question is from the line of William Ho with Banc of America Securities.
William Ho - Banc of America Securities: Hey guys, congratulations on the great quarter. Just a quick question on AVONEX. In the U.S., you have been able to support sales with price increase. Can you give us any more color about what's happening in the EU and other outside of U.S. markets? And then also as a follow up, can you tell me if you've seen any trends and additional switching since the failure of the high dose COPAXONE trial? Thanks.
James C. Mullen - President and Chief Executive Officer: Paul, you want to take the first part, and you want to take the second part --
Paul J. Clancy - Executive Vice President and Chief Financial Officer: Yes, as it relates to kind of... the best way... I tried to give a little bit more color on my talk in terms of unit trends. That's probably the best way to strip apart I think what you're really getting after, Will. In the U.S., we have characterized our objective in the business is to try to keep some buoyancy on the revenue line. We have over the last year or two had down years in terms of units. The last four quarters, I pointed out, in the United states have been relatively flat plus or minus a million or plus or minus a very small percentage of units. So we've actually experienced kind of a flattening out in the United States with respect to units. And as a result, the P&L has benefited from the price increases. Outside the United States, our first half 2008 units advanced double... I am sorry, high single-digit percentage versus first half 2007, roughly in line, roughly in line with the market growth. So the markets outside the United States is probably growing low single digits. And I think that's kind of the P&L formula that we see over the foreseeable future.
Unidentified Company Representative: And as far as the failure of the COPAXONE double dose trial, still early to tell what the impact of that is. However, from our perspective, it's another trial which shows that there seems to be no benefit from increased dose of one of the ABCR therapies.
William Ho - Banc of America Securities: Okay. Thanks. Congrats again.
Operator: Your next question is from Eric Schmidt with Cowen and Company.
Eric Schmidt - Cowen and Company: Good morning. A question for Al Sandrock on MS trial design. We've seen from some of the recent trails in this space that the control group performance has improved. And I am wondering if you still believe the BG-12 design and statistical power are adequate. And secondly, I know that Elizabeth said that enrollment was on track. But we have heard specifically that enrolling patients in placebo controlled MS studies has also gotten more difficult. So maybe you could maybe just educate us on whether you think that's the case as well. Thanks.
Al Sandrock - Senior Vice President, Neurology Research and Development: That's a very perceptive question, Eric. It's true that the annualized relapse rates certainly have decreased over time over the years. We are tracking that very, very carefully in the BG-12 trial. We look at the full relapsed rate. And so far, we think the trial is adequately powered. But we are going to keep a very close eye on that and we have contingency plans for that. And with respect to placebo controlled trials, there was a paper that just came out in the Annals of Neurology based up on a international panel that stated that placebo controlled trials in MS are still ethical under certain conditions. And our trial closely matches those conditions that are written in that paper and for that reason, we are enrolling patients on track. And there are other additional designs for MS trials that are on the... that we are considering. And certainly, there is always the chance to do superiority trials against ABCR therapy. So I don't think that... I think it is getting more difficult to do MS trials, but there are ways of dealing with these difficulties.
Eric Schmidt - Cowen and Company: Thanks a lot.
Operator: Your next question is from Jim Burgenol with Lehman Brothers.
Jim Birchenough - Lehman Brothers: Hi guys. I just had a question on the adjudication of suspected PML cases. And just wondering if you can maybe give us a bit more detail on the number of suspected cases you are seeing. Whether as physicians get more comfortable with the drug, they are less apt to report MS worsening as a suspected PML case and whether plasmapheresis is recommended for just confirmed cases or if you are seeing it used when physicians suspect the case?
James C. Mullen - President and Chief Executive Officer: There is a lot of questions there. I guess I will take that Jim. So in terms of adjudication, we don't have an adjudication committee. So each neurologist takes care of their patient as they see fit. We believe that our risk management program is working and working well. And as you know, it calls for increased vigilance for PML. And for that reason, there are cases of suspected PML that are worked up appropriately. And the key thing, though, is that we have had no confirmed cases in these two years since the relaunch. People have used plasma exchange on occasion and... for suspected cases of PML and on occasion, patients go back on TYSABRI and again, no confirmed cases. I think... I hope that answers most of your questions.
Jim Birchenough - Lehman Brothers: Jim,I guess just the follow up is as physicians get more comfortable with the overall safety profile, are you seeing less of a tendency to react to MS worsening as a suspected case is less of a fast trigger kind of approach?
James C. Mullen - President and Chief Executive Officer: I think physicians are maintaining their vigilance with PML as called for by their risk management plan.
Jim Birchenough - Lehman Brothers: Great. Thanks for taking the question.
Elizabeth Woo - Vice President, Investor Relations: Jim, just to add, the confirmation diagnosis for PML is we follow the international standard, which was used also in our safety review back upon the initial suspension, which is confirmatory JC virus in the cerebrospinal fluid or through brain biopsy. So that is the internationally accepted definition for diagnosing PML.
Jim Birchenough - Lehman Brothers: Perfect. Thanks.
Operator: Your next question is from the line of May-Kin Ho with Goldman Sachs.
May-Kin Ho - Goldman Sachs: Most of my questions have been answered. Can you give an update on the biosimilars in particular with the Biopartners product in Europe as well as Sandoz in the U.S.?
James C. Mullen - President and Chief Executive Officer: Sure. The Bioton products which came from the Biopartners, yes, it's in registration. It was filed last August. Theoretically, it should appear... get a decision from the EMEA by end of summer or sometime by the end of the year. We would expect, just to remind everybody, that is sort of patterned [ph] after the 22 microgram REBIF, so it's subcutaneous three times a week, 22 microgram dosage. So... and that was a full registration trail. So I don't know any... we don't know any more than that. So that's the timeline. In terms of the Sandoz product, Extavia is a... which is the brand name they are using, at least using in Europe, it is, at least as we know it, sourced from the same manufacturer. So it's really a second brand; it's not a follow-on biologic. Having said that, it's another competitor to market and it would appear that this is just part of Novartis' strategy to build some platform in MS in preparation for FTY720. So don't know that we have seen a lot more in the field at this point, certainly not in the U.S.
Operator: Your next question is from the line of Mike King with Rodman & Renshaw.
Michael King - Rodman & Renshaw: Thank you, good morning. Thanks for taking my question. Most of my questions have been answered as well. So I was just wondering if we could get a little more color on... you had said in your formal remarks that there are earlier switches. I don't know if you guys track sort of the number of prior regimens that patients run before switching to TYSABRI and how that may have changed over time.
Bill Sibold - Senior Vice President, US Commercial: Yes, that's tracked through market research, and all I can say is that we've seen a trend towards earlier in the treatment regimen and no specifics.
James C. Mullen - President and Chief Executive Officer: Yes. I would say that's pretty much what we've talked about for the past year that we would expect it to start to move forward as people get more comfortable. And I think you also see it in some of the switching dynamics as it moves forward, more that's coming from switchers.
Michael King - Rodman & Renshaw: Is there an internal goal that you would like to see like less than 2, less than 1, or I mean after 1?
James C. Mullen - President and Chief Executive Officer: Well the internal goal... let's take the longer and longer view of this. We want to continue to build out this product, we want to continue to build out the use and the evidence for the use of this product across the broadest range of MS possible, including early diagnosis, including thinking about secondary progressive, potentially thinking about primary progressive. So we will continue to build out the evidence. At the same time, you're going to have the utilization patterns being driven by the experience that these physicians have of watching patients, of how they behave, perform and tolerate the product as they stand in front of them. And then their comfort with the overall safety profile. I think that's why we thought this sort of two year point was important. You start to get quite a bit of data with patients that have been on for a significant period of time. And certainly, as we wrap around the tail end of this year, you're going to have 6000 plus patients that have been on for two years. We think that kind of evidence database plus the rigor of the TOUCH program and the fidelity of that program is really going to continue to help. Physicians have high confidence that they really understand what the profile is. I don't want to predict what it's going to be because I can't see into the future. But people have high confidence that the data that we have is very accurate and very precise.
Michael King - Rodman & Renshaw: Terrific, thank you.
James C. Mullen - President and Chief Executive Officer: Yes.
Operator: Your next question is from Jason Kantor with RBC Capital Markets.
Jason Kantor - RBC Capital Markets: Thanks for taking my question, and most of my questions have been answered. Could you comment on not just your own, but across the industry, you're seeing significant pricing increases? And how much pricing power is left in the market and if you can take that --?
Paul J. Clancy - Executive Vice President and Chief Financial Officer: Yes. Jason, we have obviously benefited in the AVONEX U.S. business from the price increases. We don't comment on what are future pricing is, but I would kind of characterize it as our business plan doesn't rely on this going forward. I think that's probably an accurate assumption for us to be using over the next few years.
James C. Mullen - President and Chief Executive Officer: Our assumption is at the U.S. pricing environment or the U.S marketplace overall, you guys can read all the same headlines I read and you can see what goes on in Congress and you can hear what Presidential candidates talk about. It's going to become more and more focused, it's going to be a tougher place. But that's not new news to us; that's why we have emphasized over the past decade to continue growth in the... for all geographic markets, we've gotten more than 30 plus percent of our sales outside the U.S. We think that's going to move to 40%. And if you look up and down our pipeline, we've got the worldwide rights [ph] to the vast, vast majority of that pipeline. I think at the end of the day, that is really the best offence is to be able to take our products to the broadest population possible. And we'll have to react to the local political and pricing dynamics wherever we find ourselves. But we've also got a lot of experience in those kind of markets given the past decade of selling international.
Jason Kantor - RBC Capital Markets: But I guess the question is over the last 12 months, was there something that was unique, because it seems that you and other companies had raised price quite a number of times over the last 12 months. Was there some factor that was unique over the last 12 months?
James C. Mullen - President and Chief Executive Officer: No, I wouldn't say there was any special factor in play.
Jason Kantor - RBC Capital Markets: Thank you.
Elizabeth Woo - Vice President, Investor Relations: Given the time, we'll take one or two more questions.
Operator: Your next question is from the line of Maged Shenouda with UBS.
Maged Shenouda - UBS: Congratulations on a good quarter. Can you provide an update on the arbitration proceedings with Genentech?
James C. Mullen - President and Chief Executive Officer: Sure. I mean there not a lot new to report from the last quarter, nothing's really changed there. The arbitration is scheduled to occur... the hearings in this quarter or early next quarter as it stands and the arbitrators have up to six months to render a decision. So, hopefully, we'll get through the arbitration in September or October and we can only hope that they have a rapid adjudication, but they can take up to the end of Q1 and out --
Maged Shenouda - UBS: Okay, thank you.
Elizabeth Woo - Vice President, Investor Relations: Okay,we'll take our last question.
Operator: Your final question today is from Adam Walsh with Jefferies & Company, Incorporated.
Adam Walsh - Jefferies & Company: Hey, thanks for fitting me in. My question a is follow up to Jason's question on TYSABRI. Can you briefly talk about the rationale for the recent price increase there and whether or not you feel the risk benefit profile justifies the higher price in the current one? And then also on AVONEX, is AVONEX still the low cost interferon? Thanks.
Paul J. Clancy - Executive Vice President and Chief Financial Officer: AVONEX, let me take it from the back, AVONEX right now is lower than one of the other interferons and it's... so it's in between the two interferons. And we recently took a price increase on TYSABRI of 3%. It is a medical benefit, TYSABRI, so that is a dynamic in the marketplace that comes into thinking when actually technically Elan sets the price in the United States.
Adam Walsh - Jefferies & Company: Thank you.
Elizabeth Woo - Vice President, Investor Relations: Thank you everyone. That was our last question and we'll see you on the call next quarter. Thank you.
James C. Mullen - President and Chief Executive Officer: Thanks.
Paul J. Clancy - Executive Vice President and Chief Financial Officer: Thank you.
Operator: This concludes today's conference call. You may now disconnect.